Operator: Thank you. And welcome everyone, and welcome to the FormFactor’s Second Quarter 2009 Earnings Conference Call. On today’s call are Chief Executive Officer, Mario Ruscev; and Chief Financial Officer, Jean Vernet. Before we begin, let me remind you that the company will be discussing GAAP P&L results and some key non-GAAP results to supplement understanding of the company’s financials. A schedule that provides GAAP to non-GAAP reconciliation is available in the press release issued today and also on the Investor section of FormFactor’s website. Also, a reminder for everyone, today's discussion contains forward-looking statements and that FormFactor's actual results could differ materially from those projected in our forward-looking statements. For more information, please refer to the risk factor discussions in the company’s Form 10-K and subsequent Form 10-Q and the press release issued today. With that, we will now turn the call over to Mario.
Mario Ruscev: Thank you and hello everyone. Our second quarter results are indicative of stabilization of core markets. Revenue rose 14% from the first quarter to $31.2 million. The improvement was driven by an increase in activity across all business units. We continue closely managing our cost resulting in better gross margin and lower operating expenses than originally planned. Stabilization in the memory market and the recent improvement in capital markets have had the positive impact on our customers’ willingness to move forward on leading edge technologies such as DDRIII and DRAM. Recent design and volume activity has improved. I will comment on the demand environment later in the call. But the improvement we are seeing across our business is shifting our focus from short-term initiatives like we’re focusing our business to reduce costs and align with the changing business environment towards long run structure initiative that will have positive implication to our results and efficiency over the long-term. With that as a background, on today’s call, I will cover three areas. First, I will discuss our decision to accelerate our globalization efforts. Second, I will talk about our continued investment in new products and architecture. And third, I will share with you my thoughts on the demand environment. Let’s start with our globalization efforts. Over the past 18 months, we have been navigating a challenging memory market, which has forced us to make difficult decisions to scale back our organization. The cost control we initiated have reduced cash burn and lowered the cash breakeven level of the company. With the recent market improvement, we believe now is the time to accelerate our regionalization efforts by transitioning back-end manufacturing to Asia. As a reminder, we qualified our back-end manufacturer in Korea during our first quarter and we are now taking steps to bring up and qualify back-end manufacturing in Japan during Q4 2009, followed by Singapore in 2010. Transitioning these back-end process enables us to reduce our fixed cost structure. We estimate the financial benefits of this move to be an improvement in gross margin of approximately 15 points. The combination of this initiative will result in a lower manufacturing cost, a simplified manufacturing process and decreased cycle time for our customers. Our targets completion date for our back-end manufacturing in Asia and cost reduction initiative is by the second half of 2010. The key criterion for success is doing this in a way that allows us to capture any surge in demand while still implementing this transition. We believe our plant does just that. I will provide you with updates on our progress during the future earning calls. One constant for FormFactor over the years has been our focus on innovation and delivering the best product and solution to the market. In the midst of this historic downturn, we never stopped investing in technology and have developed and incorporated in our product, highly differentiated technologies such as RapidSoak and advanced theory which are both in high demand allowing us to regain customer share. In addition, our latest generation spring developments are providing an opportunity to relook at how we optimize our portfolio of contractors. We are developing a series of processes module, which enable us to provide springs with the same underlying architecture and process for most markets. This is a significant improvement and will result in more efficient and reduction in cost. We are currently targeting the first half 2010 to release the next generation of spring technology. In addition, we have been investing in a new memory architecture. We are about to bring to market breakthrough technology from both lead time and cost perspective. We are targeting the NAND market for our initial release. This architecture will allow us to provide immense technology into a market segment currently served to larger extent by less advanced contact technology. As our customers migrate to 32 nanometers process nodes and employ 3 and 4-bit floating gate technology, the importance of a stable interconnect between probe cards and wafer will become increasingly important. We have commenced our architecture qualification with a few customers and our plan is to make the architecture commercially available in late Q4 2009. Also, the second-generation full wafer contact architecture will have a broader application in the DRAM market. We will share more details on the architecture itself and the differentiation over coming months. But obviously, we are excited about the new architecture and its potential capabilities, which we believe will expand our total addressable market. Before I turn the call over to Jean for more details on the financials, I will share some thoughts on the demand environment. While the design activity during the second quarter was slightly better than we expected, we have seen a more significant increase in our customers tooling cycle relating to DDRIII during July. The accelerated increase in DDRIII new designs and revenue activity, which has more than doubled the prior quarter, signals the industry move to a greater adoption of the advanced memory devices and DDRIII versus DDRII crossover. The recent increase in activity has been front-end loaded, which is starting to put some pressure on our manufacturing organization and our entire supply chain to handle the volatility of the market. Because visibility remains low, it is difficult to draw too many conclusions from this increase in demand; therefore we remain cautious of a near term on the system ability of the recent activity. To summarize, we are accelerating our regionalization effort, the results will be a much more flexible, efficient and lower cost infrastructure. In addition, we continue to build and introduce new technology and architectures to the market which will drive growth and expand our market opportunities. And finally, we are encouraged by the increase in design and volume activity related to DDRIII. We are gaining market share in all three business sector and expanding our product portfolio with introduction of our new architecture. However, we are still cautious on the overall macro environment and we will be closely monitoring activity for system ability. With that, let me turn the call over to Jean for more details on the financials.
Jean Vernet: Thank you, Mario. Let me start with the summary of our second quarter results. Revenue was up due to sequential improvement in all three areas of our business. Total revenue was $31.2 million up 14% sequentially. Second quarter revenue for DRAM was $25.3 million up 7% from our first quarter, that’s a decline of 20% versus the second quarter a year ago. The flash business grew sequentially in the second quarter. The increase was due to share gains and a pickup in NOR probe card demands. Flash revenues for the quarter were $1.8 million, up from depressed first quarter levels, but down 84% versus the second quarter a year ago. Revenue in the SoC business was up 27% sequentially due to a pickup in reorder activity from low level of demand in the first quarter. SoC revenue was $4.1 million, a decline of 57% year-over-year. We continued to see solid activity in our non-microprocessor business. And as we introduce new technology, we will enhance our opportunity for growth. Geographically, revenue in US and Asia Pacific, were up quarter-over-quarter while both Japan and Europe declined. For the second quarter, GAAP gross margin was negative 4.3% and on a non-GAAP basis, gross margin was negative 1.3%. The gross margin improvements compared to last quarter and compared to our internal guidance was mainly due to the higher than expected revenue level, cost control and the more favorable product mix. Overall, we continued our focus on reducing cost during the quarter. On a GAAP basis, operating expense totaled $32.5 million, including approximately $300,000 for restructuring charges and $2.5 million one-time stock-based compensation charge due to an acceleration of stock options related to Igor’s departure agreement. These GAAP operating expenses excluding restructuring charges were lower by approximately $8.2 million from the first quarter. On a non-GAAP basis, operating expense were $26 million, down approximately $10 million from the first quarter and slightly better than our guidance. Our efforts across the company to streamline the organization and reduce costs are evidenced by these results. Our focus is to maintain the appropriate level of investment to drive our future top line growth, while constantly looking for operational improvement then drive efficiency and cost benefits. The second quarter of fiscal 2009 results included the following one-time items. A non-cash charge to tax expense of $44.7 million or $0.91 per share related to evaluation allowance against our net deferred tax assets. The establishments of the evaluation allowance did not have an impact on our cash position and does not precludes or limit us from using it our loss carry forwards, tax credits or deferred tax assets in the future. The stock-based compensation charge of $1.6 million or $0.03 per share net of tax related to the option modification in connection to the retirement of Dr. Khandros, Founder and former Executive Chairman of our Board of Directors in May 2009. Based upon these extraordinary items, net loss for the second quarter of fiscal 2009 was $65.8 million or $1.33 loss per share, compared to a net loss for the first quarter of fiscal 2009 or $37.9 million or $0.77 loss per share and the net loss for the second quarter of fiscal 2008 of $18.7 million or $0.38 loss per share. On a non-GAAP basis, net loss for the second quarter of fiscal 2009 was $16.3 million or $0.33 per share compared to a net loss for the first quarter of fiscal 2009 of $30.1 million or $0.61 per share and the net loss for the second quarter of fiscal 2008 of $12.3 million or $0.25 per share. Total cash investment comprised of cash and short-term investments ended the quarter at $487.5 million, approximately $31.8 million lower than the previous quarter. The decline in cash was more than expected due to the lengthening terms and conditions with customers that impacted the expected cash flow. Our supply and demand come back into balance, we will be proactive with customers to bring terms and conditions back in line with historical levels and expect that we will see normalization in the conditions being negotiated with customers, thus having a positive impact on cash in 2010. As we turn now to the outlook for the third quarter, we continue to have limited visibility over the near term. We are not providing any revenue guidance, but internally, we are planning our business for third quarter to be up compared to that of our second quarter by more than 20%. Although, visibility going out further than a quarter is still challenging, our conversation internally has shifted from identifying our downside risk during the quarter to discussing potential outside demand. So directionally, we are seeing an improvement in activity, but it is still too early to talk about the real term. We are going to refrain from providing specific gross margin guidance other than to say we’d expect them to be positive in a wide range between mid-to-high single digits. Although as the quarter unfolds, changes in demand levels and pricing of products would impact mixed and unit costs and potentially create an additional several points of margin variability. Non-GAAP spending for R&D and SG&A in the third quarter should be approximately $27 million to $28 million, up $1 million to $2 million from the second quarter. The increase in operating expense is due to an acceleration of a few of our R&D projects and an improvement in demand that would result in the lessening of forced extended PTO during the quarter. Let me now provide some financial context to our move to Asia. We expect the total cost of the project to be $25 million, which includes $20 million in capital expenditure. Approximately $8 million to $9 million of CapEx will be spent during the second half of 2009. Balancing the cash outlay with the future savings from the implementation of this plant, the cash paybacks starts to yield a positive return in the second half of 2011. We will see an increase in capital spending through the rest of 2009 and into 2010, due to the acceleration of this regionalization efforts and we now expect capital expenditure to be roughly $26 million, up $6 million to $7 million from our prior forecast last quarter, but still down when compared to 2008 levels. As a result of our initiatives and lengthening of customer terms, we expect the cash usage to be around $30 million in the third quarter. The acceleration of our regionalization efforts will have a negative $2.5 million impact on our third quarter. Recent action the company has taken over the past 18 months have improved the cost structure and stabilized the business, but we need to continue our efforts. As Mario pointed out earlier, we are now moving aggressively to position the company to achieve robust profitability during positive memory cycles as well as withstand future downturns while still turning to profit. We will update you on our progress on these initiatives in future earnings calls. With that, let’s open the call to Q&A. Melanie?
Operator: Thank you. (Operator instructions) We will take our first question from Timothy Arcuri from Citi.
Timothy Arcuri – Citigroup: Hi guys. Thanks a lot. First of all, Jean, it sounds there is a lot of variants around margins, there is a lot of stuff going on with the mix. Can you specifically give us some idea of what that variant is i.e., what is the higher margin products versus what is the lower margin product and kind of what that mix is shifting?
Jean Vernet: Yes, it’s a little bit difficult to be too granular on this. Last quarter, we pointed out that we had some margin differences with what we call our standard product versus our high technology product. And this change of – I mean this variability in gross margin is mainly due to that.
Mario Ruscev: Tim, just to give you an example. If you take a Harmony card, if you have Harmony card that does two touchdowns with a lot of theory, et cetera, this is usually a product which is high-end products with a good margin. When you have a product which competes more standard product with competition which is good enough, usually margin are not as good. Even in PH150, we have some PH150 with advanced theory that can do two touchdowns. With LM [ph], we saw very good products when you have PH150 competing in a much more depressed market where there is not much differentiation of a marginal difference. So it’s very hard to say, in fact, really either this product or this product. You will do it much more by applications on how you go. This is really how the margin is viable. And we have seen in the last quarters that a customer in some case, for example, they had a lot of testers available, so the demand our efficiency is not as strong, so we some of our availability in some other case. Suddenly they want something different. That’s why it’s very difficult to predict that and we have a lot of volatility late in the last few quarters over that.
Timothy Arcuri – Citigroup: Okay. But I guess the point being made is the mix shift toward the higher-end Harmony cards, there should be some extra margin leverage there, correct?
Mario Ruscev: As our customer needs more and more efficiency, usually this is a better sign for us.
Timothy Arcuri – Citigroup: Okay. And then just last thing from me, there was some talk I think six or so months ago about the ultimate size of the DDRIII market being somewhere in the mid-to-high $300 million range for advanced probe cards and I am wondering what you have done kind of anymore thinking around how big the DDRIII market ultimately will be?
Mario Ruscev: We believe, if you compare the history, you remember that on DDRIII, whatever estimate we did before we did underestimate what we had. We believe our DDRIII will last quite a long time until at least 2015, and our estimate is more like $800 million over this period of time.
Timothy Arcuri – Citigroup: Okay. Thanks.
Operator: Next we will go to Patrick Ho from Stifel Nicolaus.
Patrick Ho – Stifel Nicolaus: Thanks a lot. In terms of your new global reorganization efforts, how long have you been formulating this plan? And I guess the bigger question is why couldn’t I guess they had been implemented sooner particularly in the past two quarters when we were in the harshest part of the downturn? Does this, I guess, complicate matters as we potentially head into an upturn scenario, which I think you even mentioned in your prepared remarks as you don’t wanted to compromise business on the way up, but doesn’t this, I guess, put more pressure on you to execute on both ends?
Mario Ruscev: In reality, my only regret is I should have done that nine months ago. But nine months ago was a long time ago. What we can say is that we did realize that we will need to accelerate that quite a few months ago. But again, we know that we have to cover our customer and the reason why it took us even longer to put it together for us to make sure that we do have a plan, but it will allow us not only to do the transition, but not jeopardize any of our – serving any of our customers. So we prefer to take few more months to really be ready and not having a big issue of four or five months from now.
Patrick Ho – Stifel Nicolaus: Okay, fair enough. In terms of the traction with Harmony and some of the new technologies or the new products that you’re going to be introducing over the next few quarters, how have I guess the pricing been and what type of accommodations are you going to have to make I guess for customers to get them on board? And then the reason I asked that is just by looking at some of the cash flow, it looks like you’ve obviously made some deals with them to pay later and it could negatively impact margin. So can you just give a little color in terms of traction of Harmony as well as the impact on pricing and margins?
Mario Ruscev: Well again, like I said before, it’s really depending on the application. So the markets are already quite (inaudible). So when – like I said, when you ship 50,000 spring Harmony with the lot of theory, which will give you extreme efficiency, we have the only one that can redo it in a good way, so that the situation is better. There is almost all the markets, we are in a different competition with people who sometime are quite desperate and we have increased our market share over the last six to nine months altogether. So this – in this case, obviously the margin is different. When I say in the new technology is that it will enable us to be much more competitive in the standard markets and still provide very different margins. Now it really didn’t open it to try to do to go into this market, because the market is becoming more complex is we use our technology means and our technology capability to develop a technology which will allow us to compete in this markets. And that’s also why we first introduced in a NAND flash market where we have not been very present lately, because it was very hard for us to compete with our standard product.
Patrick Ho – Stifel Nicolaus: Okay, great. Final question from me, did you have any top – I guess 10% customers this quarter and how many?
Jean Vernet: So this quarter we had one customer about 10% and two customers very close to 10%. I would say that, I mean you will see the detail in our Q. But I would say that compared to last quarter, the distribution is flatter and it was in Q1.
Patrick Ho – Stifel Nicolaus: Great. Thank you.
Operator: Next we will go to Mehdi Hosseini from FBR.
Mehdi Hosseini – FBR: Thanks for taking my question. Two things. First, I do realize that visibility is very limited, but if you were to take the current conversation you have with the customers, would characterize that Q4 as a seasonally driven period and if not, how would you describe as we approach the year end? And also regarding the Q3, your internal forecast is for at least 20% sequential growth, can you elaborate on the mix, which segment, flash, DRAM, or logic, would grow faster than the others?
Mario Ruscev: In full Q3, which we have better visibility, I would say all segments are growing. What we’re start seeing is DRAM is growing. But we also start seeing – even we are starting seeing now in Q2 some reorder in SoC. Typically for example, in the automotive industry, Q1 was zero. And we are starting seeing some reorder from some automotive customer over the last two months and we see that continuing. So it’s really in this case what we see, it’s exactly like we see in Q2, the improvement is in all of the area, it is slow. We would like to have something better, because 20% is nice, but it’s 20% of not much, but we see it overall through the all respect of activities.
Mehdi Hosseini – FBR: Okay. And then regarding the Q4 and with whether this year is going to be seasonal or not?
Mario Ruscev: This crisis is so unusual. That it’s – we are really scratching our heads yet to say. We believe – it’s very hard to say now really.
Jean Vernet: One other thing which is really driving the demand right now is what Mario has mentioned as a tooling cycle, right? So it’s a technology transition driven as opposed to the classic end market demand driven, which – for which you have cyclicality. So it’s very hard to predict how this going to play out in the fourth quarter.
Mario Ruscev: We have seen in this quarter. For us, this quarter has been of a crossover for DDRIII to DDRII – DDRII to DDRIII. And obviously, the industry predicts that the crossover for the industry for our customer will be in Q4. So that might I think – because remember, we come from extremely low levels. So even these tooling demand can affect it and we might not have the down that we are usually sequentially, but it’s really too early to say now.
Mehdi Hosseini – FBR: And one quick follow-up, can you provide the cash from operation in the Q2 and whether the targeted breakeven has changed now that you have disclosed more insight into your Asia operations?
Jean Vernet: Going forward, as opposed to our prior plan of reaching of $50 million in Q3, a series of factor, one of it being the expansion into Asia, the other being the fact that some of its cost cutting measures we have done have to be reversed as the demand picks up, you know things like extended PTO. These are short-term measures. So this means that we anticipate our cash targets breakeven before working capital to be at about similar level than towards in the second quarter. So we continue our effort, we’re cutting cost across the board, but it is somehow offset by those new factors.
Mehdi Hosseini – FBR: Understood. And once we get beyond the Q2, Q3, would you reverse back to $50 million.
Jean Vernet: Yes, so that’s a good question, because essentially our focus is shifting from achieving these breakeven targets immediately versus shifting to a focus on P&L profitability. So as we complete that transition probably in the course of the second half of 2010, we expect the P&L non-GAAP breakeven that’s about a $60 million which as a relative give you cash breakeven level slightly below $50 million, right? So essentially we still achieve those targets probably better but in the manner which is more sustainable and that will allow us to face the growth. And one of the things we are addressing through this program is really tackle the complexity of our cost structure and this is why it’s taking a little bit more time.
Mehdi Hosseini – FBR: Thank you so much for all the details.
Jean Vernet: Thank you.
Operator: Next we will go to Gary Hsueh from Oppenheimer & Company.
Gary Hsueh – Oppenheimer & Company: Great. A quick comment that you had made that peaked my interest, the commentary about new design activity and revenue activity being primarily front-end loaded in Q2, what did you mean by that, did you mean you saw a big kind of monthly increase in the front end of Q2 and that’s sustained itself or did you see actually revenue and design activity sort of slope off as you worked through Q2?
Mario Ruscev: The one thing that I can say that activity, at least the demand of our customer is far from being linear. So we have to – and so we have to adapt to that in an extreme way and usually as much we can do it pretty well ourselves. But also we are not alone; we have an old set of suppliers et cetera, et cetera. So this requires a lot of efforts, but we are handling it.
Gary Hsueh – Oppenheimer & Company: Okay.
Jean Vernet: And Gary, the comment was more referring to the third quarter actually. What we mean by this comment is that we have seen a surge in our demand in July, which front loads the quarter.
Gary Hsueh – Oppenheimer & Company: Okay. That makes more sense. Okay, okay. Thanks for that clarification. And if I can get a handle on gross margin at different way, if you could basically describe or characterize the pricing environment, for instance, pricing for DDRII flavored wafer probe cards with the crossover to DDRIII? And secondly, based on the new product architecture NAND, what the pricing and gross margin implication in that new business might be to the corporate gross margin efforts?
Mario Ruscev: We cannot go in all the details again, so I will just repeat myself is, the new architecture will enable us to be to a very decent gross margin and decent gross margin – for me it’s not 10%, it’s much more than that in an environment where we could not really compete before or we have difficulty to compete.
Gary Hsueh – Oppenheimer & Company: Okay. I guess I am looking at –
Mario Ruscev: If you sell a probe card, even take a NAND flash, if you set a probe card in NAND sort with this kind of architecture will have very good margin. If you pass it other markets, sometimes the margin will be a little more difficult. But in any case, it will give us a much bigger – much more freedom to be able to compete in this market.
Gary Hsueh – Oppenheimer & Company: Okay. Let me just clarify. So Jean, is it right that currently to model both the revenue line and gross margin line pretty much work on increasing unit volumes and less on rising ASPs. Is that pretty much how we should be thinking about near-term modeling for FormFactor?
Jean Vernet: It’s, I mean it’s a way too early. I just want to insist on the fact that we are in a custom-made business, right? So as we – everything is different and it’s hard to – if you want to recommending to all this type of product is profitable than other, no that’s not how it works. Every bid is a custom bid in a sense and the profitability of our mix is driven by that. Now overall as Mario explained, because on the more standard products right now, we see some pretty intense pressure, price pressure, overall tendency is a pressure on the top line right now. So – but you shouldn’t drive too many conclusion on the granularity of what this means on each of our product line, because it’s really bid by bid.
Gary Hsueh – Oppenheimer & Company: Okay, that’s perfect. Thank you for that answer.
Jean Vernet: Thank you.
Operator: Next we will go to Raj Seth from Cowen and Company.
Raj Seth – Cowen and Company: Hi, thank you. Just a quick follow-up, some of those you may have answered in the previous question. Can you again review your operating cash flow breakeven targets on the revenue line, I think you mentioned $50 million, but just unclear? And talk about the gross margin assumption underneath each one of the two or you will just tell me what you’re assuming for gross margin to breakeven target?
Jean Vernet: So what we had mentioned in prior calls is that we were targeting a $50 million breakeven level for operating cash before working capital effect. And to achieve that we had mentioned that the margin would be in the mid 30s. Today, we are at $53 million cash breakeven according to the same respects and the margin we have at these levels are slightly below $35 million, but we are better on other line. So overall, we are – we have lower OpEx, so overall we each breakeven at $53 million. Under our new project, which is a combination of many things, it’s a combination of moving some manufacturing two places where we can operate cheaper, it’s using technology to simplify the way we manufacture our product and standardize some of the components, its working, manufacturing with the lower asset base. I mean the combination of all those things will bring us to a $50 million breakeven level for cash at margin – at margins which will be in the high 30s. And this is going to be achieved through longer lasting cost restructuring.
Raj Seth – Cowen and Company: Right. So just a follow-on for that, as I think about modeling this beyond breakeven and I know and I understand mix is a big – gross margin will vary a lot of mix and there are a number of other effects. But how would you suggest that we think about incremental gross margin offset breakeven point as we model forward?
Jean Vernet: The incremental margin that we are looking out right now are in the 60% level. And as we go through this transition, I expect as we have stabilized our transition for those incremental margin to be higher than that, but it’s a little bit too early to communicate on that. At the end of the day, I don’t see any reason why we should not in absolute level of margin which at least similar margins that we are seeing historically for FormFactor.
Raj Seth – Cowen and Company: Great. One last one if I might. You talked about lead times, what are the DRAM lead times today and where do you think they go with some of the changes you outlined?
Mario Ruscev: We never specifically quoted lead times. All I can tell you and I am not going out – we are going – I mean the lead time are getting shorter and shorter all the time. Now just to come back this margin story, just to put things back into perspective, the way we tackle that is, you have to remember we have been 18 months in this whole as company. And the way we look at it is we looked at and there is no way that will come to the end of 2010 and not be profitable again. So we are really shifting the whole thing from this extreme crisis management to really make sure that this company will be profitable and not three years from now. And if we achieve that, not only we will be profitable, but we will have an ability as the market turns around in 2011 to be really nicely profitable. This is really what is the whole shift what we are really trying to focus.
Raj Seth – Cowen and Company: Great. Thank you.
Operator: Next we will go to Jim Covello with Goldman Sachs.
Mark Delaney – Goldman Sachs: All right, thanks so much for taking the question. This is Mark Delaney calling for Jim. Why don’t you talk a little bit more about DDRIII, you had mentioned an $800 million market over the long-term. Ballpark, how much of that do you think gets spent 2009 and is there going to need to be big pickup in DDRIII tester orders in order to drive probe cards this year for you guys?
Mario Ruscev: Like I say, we do plan to have a crossover for our customers to have a crossover DDRII to DDRIII in Q4. So it is going to be a small fraction of this whole money which will be in 2009. It’s really – it is a five-year event and we are just at the beginning of it.
Mark Delaney – Goldman Sachs: In terms of market share in DDRIII, how well do you guys think you are positioned? And also maybe in Korea, I know historically you guys have had some good share in Korea, I’m wondering how you’re positioned for the DDRIII –
Mario Ruscev: All I want to say you that in the recent quarters, we have grown our market share in all of our markets. There is our markets in some country have been extremely low lately and we are getting back to it. We always said it will be a – it’s a slow process, people have to be patient. But we are not – we will not give up. So that’s really where we are. And although our market share in the – if you look at where in the domain where we compete, we are pretty happy with its progress in fact.
Mark Delaney – Goldman Sachs: That’s helpful. One last one from us. You’ve talked about 15 points from the back-end transition, is there any kind of revenue level that’s contemplated in order to see that type again?
Mario Ruscev: Well, this point will go through immediately. But once we implement it, we will have a gain our gross margin which will be achieved all through the –
Jean Vernet: Yes and as a reference to what we said earlier, this type of incremental margin is up 60-plus million level per quarter.
Mark Delaney – Goldman Sachs: Okay, great. Thanks so much.
Mario Ruscev: Thank you.
Operator: We’ll take a follow-up question from Timothy Arcuri with Citigroup.
Brian Lee – Citigroup: Hi guys, this is actually Brian Lee calling in for Tim. I just had one quick follow-up. I think in Q1, you out shipped revenues by about $5 million and if I recall correctly. So, was any of these recognized in Q2 and how much should we assume is in the 20% growth number for Q3?
Jean Vernet: So in the second quarter we were able to recognize some revenue that we had started deferring at the end of the fourth quarter. So there is about $1.5 million of recognized revenue from prior quarter in the number. On the other hand, we deferred an additional $2.6 million roughly of Q2 revenue into future quarter. So the net effect of this is we had the net incremental $1 million on top of our revenue in terms of deferred.
Brian Lee – Citigroup: In Q3?
Jean Vernet: Now in Q3, we should see a reversal of that trend and this is a little bit why we are saying more than 20%, right? We should have in the vicinity of $4 million to $5 million of reversal of revenue in the third quarter. Now, I would like to stress the fact that the market is very volatile in terms of the demand and these numbers are not guidance. They are just for you to give you estimates, but they could vary quite a lot.
Brian Lee – Citigroup: Okay. So I guess maybe just as a follow up to that, if I assume kind of $4 million or $5 million catch up in Q3 and I know the 20% is non-official guidance. But if I just use that number, then it kind of – it seems like shipment organically would be up about 10%, assuming those numbers, is that the right match?
Jean Vernet: No. What I meant is that the recovering – the recognition of the $4 million to $5 million is on top of the 20%.
Brian Lee – Citigroup: That’s half of the 20%. Okay. So the 20% is organic?
Jean Vernet: Yes.
Brian Lee – Citigroup: Okay, thanks guys.
Unidentified Speaker: Operator, we will take one last question.
Operator: Our last question will come from Kevin Vassily from Pacific Crest Securities.
Kevin Vassily – Pacific Crest Securities: Hi gentlemen. The question on the new memory architecture, you mentioned it will available in Q4 and I am paraphrasing here from what I wrote down. But it sounded like, the way you positioned it suggested it would be able to better or more fully takes advantage of MEMS technology. How is that different from Harmony relative to that particular architecture, as I understand that MEMS is an important part of how you manufacture and actually form the contact or spring elements for Harmony?
Mario Ruscev: So I will make it very short. Harmony is, I would call it a high-end product, which can – we can push it to very, very high performance. This product is a MEM, it has MEM springs, it has SEM springs, it has Harmony in fact. But the global architecture overall will not allow you to do all the way to very high end. You can do a lot of things with it. And as we go, we would probably learn more as far as we go. But the global architecture has been designed for lead time and cost efficiency. But we certainly we will use that since we are targeting NAND and you know now in NAND, mostly it’s photo stuff. And what we believe is that as the new nodes in NAND flash are going to shrink more and more, now they go to 3-bit level set which assumes that you have eight levels, where before we had much less. Contact – the quality of the contact will become important in NAND flash and we believe that this will give a very nice opportunity and we needed an architecture which makes us efficient. We will also use this architecture in DRAM, because it can obviously be used in DRAM very efficiently and I think it will give us a very nice advantage in some of the markets.
Kevin Vassily – Pacific Crest Securities: If I am also kind of hearing you correctly, it sounds like there would be a fair amount of R&D leverage associated with this global architecture that will show up in the P&L.
Mario Ruscev: Well, we had always a lot of question about R&D few quarters ago; this is the result – part of that is a result of this R&D.
Kevin Vassily – Pacific Crest Securities: Okay. Great. Thank you.
Unidentified Speaker: Thank you, everyone. We would now like to conclude the call. Thanks again for joining us today and we look forward to speaking to you soon.
Operator: Ladies and gentlemen, that does conclude today’s call. Thank you all for your participation.